Operator: Good morning. My name is Laura and I will be your conference operator today. At this time, I would like to welcome everyone to the Delek US First Quarter Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I would now like to turn the call over to Mr. Keith Johnson of Investor Relations. Sir, please go ahead.
Keith Johnson: Thank you, Laura. Good morning. I would like to thank everyone for joining us on today's conference call and webcast to discuss Delek US' first quarter 2018 financial results. Joining me on today's call are Uzi Yemin, our Chairman, President and CEO; Kevin Kremke, EVP and CFO; as well as other members of our management team. As a reminder, this conference call may contain forward-looking statements as that term is defined under Federal Securities Laws. For this purpose, any statements made during this call that are not statements of historical fact, may be deemed to be forward-looking statements. Without limiting the foregoing, the words believes, anticipates, plans, expects, and similar expressions are intended to identify forward-looking statements. You're cautioned that these statements may be affected by important factors set forth in our filings with the Securities and Exchange Commission and in our latest earnings release. As a result, actual operations or results may differ materially from results discussed in the forward-looking statements. We undertake no obligation to publicly update any forward-looking statements, whether as a result of new information, future events, or otherwise. In addition to reporting financial results in accordance with generally accepted accounting principles or GAAP, we report certain non-GAAP financial results. Investors are encouraged to review the reconciliation of these non-GAAP financial measures to the comparable GAAP results, which can be found in the press release, which is posted on the Investor Relations section of our website. On today's call, Kevin will begin with a review of the financial performance of the quarter before turning it over to Uzi who will offer a few closing strategic comments. With that, I'll turn the call over to Kevin.
Kevin Kremke: Thanks Keith. For the first quarter of 2018, Delek US recorded a net loss of $34.9 million or $0.43 per basic share compared to net income of $11.2 million or $0.18 per diluted share in the first quarter of 2017. On an adjusted basis for the first quarter of 2018, Delek US reported net income of $28 million or $0.33 per basic share compared to an adjusted net income of $10.1 million or $0.16 per diluted share in the prior year period. Our adjusted EBITDA was $113.1 million in the first quarter this year compared to $60.1 million in the prior year period. A reconciliation of reported results to adjusted results is included in the financial tables of our press release. During the first quarter of 2018, results included a net benefit of approximately $79.8 million related to the net effect of a RINs waiver and mark-to-market adjustments due to a declining RINs price environment. This benefit was partially offset by $34.6 million related to operating performance in the first quarter of 2018. That amount include approximately $25.6 million of estimated loss profit opportunity relative to the first quarter of 2018 crude oil throughput guidance we gave you during the fourth quarter earnings call. In addition, there was a $9 million operating loss primarily from West Coast asphalt operations, which are expected to be sold to a third party in the second quarter and a West Coast plant offtake agreement that is expiring in May. The combination of these items was approximately $45.2 million before tax benefit or approximately $0.42 per share after-tax. On a consolidated basis, line items such as operating expenses, G&A, and interests increased on a year-over-year basis, primarily due to the addition of Alon. I'd like to note that G&A expense included approximately $10.5 million of transaction costs this quarter. Our income tax rate, excluding the non-controlling interest income of $14.9 million was 38.9% in the first quarter. This rate included a $7.4 million income tax-related benefit from re-measuring certain net deferred tax liabilities as a result of the 2017 Tax Cuts and Jobs Act, the effects from the biodiesel tax credit, and goodwill impairment. Excluding these items, the income tax rate was approximately 18%. For full year 2018, we expect the combined annual effective tax rate to be in a range of approximately 21% to 23%. Turning now to capital spending. Our capital expenditures during the period were approximately $70.1 million compared to $15.2 million in the first quarter last year. During the first quarter of 2018, we spent $51.5 million in our refining segment, $2.2 million in our logistics segment, $2 million in our retail segment, and $14.4 million at corporate. Our 2018 CapEx forecast is $232.3 million. This amount includes $182.6 million in our refining segment, $19.9 million in our logistics segment, $17.4 million in our retail segment, and $12.4 million at the corporate level. This amount for 2018 does not include approximately $80 million of midstream projects to enhance our position in the Permian Basin. On March 30th, we completed a series of steps to reduce our interest cost and simplify our debt structure. We closed on a $1 billion senior secured revolving ABL credit facility and a $700 million senior secured Term Loan B. We use proceeds to pay off other high interest rate borrowings and consolidated the number of debt instruments on the balance sheet. The expected interest expense savings from this step is approximately $20 million on an annualized basis, which is an addition to the cost of capital synergies already captured through Q1 of 2018. We ended the first quarter with approximately $1 billion of cash on a consolidated basis and $942 million of net debt. Excluding net debt at Delek logistics of $733 million, we had net debt of $209 million at March 31st, 2018. Now, I would like to discuss our results by segment. In our refining segment, we reported contribution margin of $133.6 million compared to a contribution margin of $64.4 million in the first quarter last year. This year-over-year increase in contribution margin is primarily due to the addition of the Big Spring and Cross Spring refineries from the Alon transaction, improved market conditions, and the benefit from the RINs waiver and biodiesel tax credit. First quarter 2018 results were reduced by a series of operating factors that I mentioned earlier. Market conditions as measured by Gulf Coast 5-3-2 crack spread increased on a year-over-year basis to $11.53 per barrel for the first quarter this year compared to $10.58 per barrel for the same period last year. In addition, the refining systems benefited from the Midland WTI crude differential to Brent crude that was an average discount of $4.70 per barrel compared to $2.81 per barrel in Q1 of last year. In March of 2018, the El Dorado and Krotz Spring refineries received approval from the Environmental Protection Agency for a small refinery exemption from the requirements of the renewable fuel standard for calendar year 2017. This waiver value based on market prices, resulted in approximately $59.3 million of RINs expense reduction to El Dorado and additional $31.6 million at Krotz Spring. In the first quarter of 2017, El Dorado received a waiver that resulted in approximately $47.5 million of RINs expense reduction. During the first quarter of 2018, approximately $24.6 million of income was recognized in the renewable business as part of the refining segment from a $1 per gallon biodiesel blenders federal tax credit that was approved in February of 2018 on a retroactive basis for calendar year 2017. Our logistics segment contribution margin was $36.3 million in the first quarter of this year compared to $26.6 million in the prior year period. On a year-over-year basis, improved performance was primarily due to the West Texas wholesale business, the Paline Pipeline, and one month of benefit from the Big Spring drop down. Contribution margin in the retail segment was $11.9 million. Merchandise sales were approximately $80.5 million with an average margin of 30.2% and approximately $53.7 million retail fuel gallons that were sold in average margin of $0.19 per gallon. There is no year-over-year comparison for the retail segment as it was acquired in the Alon transaction of July 1st, 2017. Contribution margin for the Corporate/Other segment was negative $29.5 million in the first quarter of 2018 compared to negative $5.7 million in the prior year period. Included in these results was a net hedging loss of $17.9 million for the first quarter this year compared to a loss of $3.5 million in the prior year period. This hedging amount represents system-wide hedges that are not applicable to a specific refinery. Now I will turn the call over to Uzi.
Ezra Uzi Yemin: Thank you, Kevin and good morning. As you can imagine, we are very excited about the activity in the Permian Basin. Delek operating model has been built around access to the Permian Basin crude oil and we're well-positioned to take advantage of the wider discount between Midland and Cushing. Based on the forward curve as of May 4th, 2018, Midland crude oil is at a discount of $5.86 per barrel in the second quarter. The discount has widened to $14 per barrel in the second half of 2018 and is currently averaging $10 per barrel for 2019. As a reminder, we have access to approximately 75 million barrels annually or a little more than 200,000 barrels per day of Midland crude oil, which accounts for approximately 70% of our crude fleet. Our team continues to make substantial progress on the integration of Alon. As of March, we have captured $104 million of synergies on an annual basis since July 1st, 2017 when we closed the Alon transaction. This reaches the low end of our previously targeted range of $105 million to $120 million range. We now believe that we can capture $115 million to $130 million of synergies on an annualized basis in 2018. We ended March with cash balance of approximately $1 billion. During the first quarter, we purchased $95 million of our stock and have a total remaining authorization of approximately $180 million. To further support our ability to return cash to shareholders, our Board of Directors approved 25% increase in our quarterly dividend. This follows the 33% increase that was approved in February 2018. We remain focused on creating long-term value for our shareholders as we balance returning cash to our shareholders, investing in our business and explore opportunities to develop the next stage of our growth. With that, Laura, would you open the call for questions?
Operator: Yes sir. [Operator Instructions] And our first question comes from Manav Gupta of Credit Suisse.
Manav Gupta: Uzi, congrats on the back-to-back dividend hikes, they are very rate in the energy universe. So, Uzi, no one does a better job of acquiring assets using the downturn and then turning them around than you do. You have mastered that art. My question is if margins are going to remain above mid-cycle given IMO tailwinds, does that mean DK will primarily stay out of the M&A market or you can change strategy if there's a good deal out there?
Ezra Uzi Yemin: Good morning Manav. Thanks for your kind words. I'd like to say that as we said, we have $1 billion in our balance sheet. And with the Midland differential the way they are, first, we believe that everybody's models are too low. And that their cash will be continue to pile at a rapid way. So, our goal is to make sure that if we make an acquisition, we need to be equity at day one. And there are other areas -- other aspects of our company that can enjoy this Midland situation. Let's call it the midstream side, the logistics side. I think Kevin mentioned $80 million more or we are now investing $80 million in gathering or midstream assets in the Permian. So, all of these are now trying to attract investments in other areas that are not as attractive. It doesn't mean that we will stay out of the M&A arena for refining. If there is -- we see an opportunity and we see a situation that we can improve the operation day one, then we'll look at it. But we think that there's a huge opportunity now on the midstream side that the MLP market is out of favor.
Manav Gupta: Thanks for those. And my quick follow-up is, you are very well-positioned to benefit from the Midland discount and Cushing discount. I mean what we're seeing is also that Cushing is building and now with Keystone pressure restrictions gone, there's more crude flowing into Cushing. So, I'm trying to understand is there a possibility that Brent WTI itself guidance to $8 or $9 on top of the $10, $12 that you're seeing in the Midland area, which will be an added tailwind if you have any color on that.
Ezra Uzi Yemin: The Brent TI is actually -- I'm a little surprised that the combination -- we're a little surprised, the combination is getting to $15, now almost $20. I think that the pressure will mountain over the next few months for exports to accelerate. If it does, then Brent-TI will close a little bit. I think that refineries outside the United States see offset margins we have and they're looking at ways to get some of that margins. So, while temporary, it may go higher, eventually, I don't think that it can hold when Midland is at today, $13, fourth quarter, $15.
Manav Gupta: Okay. Thank you so much Uzi.
Ezra Uzi Yemin: Thanks Manav.
Operator: Our next question comes from Neil Mehta of Goldman Sachs.
Neil Mehta: Hey, good morning Uzi, Kevin.
Ezra Uzi Yemin: Hey Neil.
Kevin Kremke: Good morning Neil.
Neil Mehta: Uzi, can you remind us again here -- or Kevin, the sensitivity for every dollar change in the spread between Brent and Midland on an EBITDA basis for your company?
Ezra Uzi Yemin: Brent and Midland or WTI and Midland?
Neil Mehta: Either, whatever is--
Ezra Uzi Yemin: I'll give you both, so you'll be -- for every barrel between Cushing and Midland, we're talking about -- every dollar, we're talking about $75 million. And for every dollar between Brent and Cushing, we're talking about $100 million.
Neil Mehta: That's annualized EBITDA?
Ezra Uzi Yemin: That's correct. That's actually -- it's going directly to the bottom-line, not even EBITDA because there's no depreciation and no charges to that. By the way, mainly -- and you will see it obviously, it's hard to moil that. You will see that our capture rate will improve because of Midland, just because of the fact that this dollar goes directly to the bottom-line, it doesn't go through the crack spread.
Neil Mehta: So, you played that out as TI Midland's $10 a barrel higher than it was in the first quarter, you can have $1 billion of annualized excess cash flow or at least pretax. So, I guess, the question is how do we think about what you do with that excess cash flow, recognizing that coming at the end of 2019 or early 2020, there's a lot of pipes coming on line. Is that where you double down on the share repurchase program?
Ezra Uzi Yemin: That's certainly an option -- we just hike the dividend again. That's certainly an option to do. We know we have excess cash and we want to put it to work. And the combination between dividend, buyback and looking for assets to be accretive immediately as we buy them or build them, these are the combination or this is the combination that we're looking at.
Neil Mehta: Uzi, one of the things, we're spending a lot of time thinking about, but don't have a great answer is that what is ultimately setting the differential between WTI Midland or Brent versus Midland. We keep on coming back to trucking being the marginal barrel. Do you agree that's the marginal barrel? Do you have a view of how much it cost to move a barrel from West Texas down to the Gulf Coast? And is there sufficient trucking capacity to do that at this point?
Ezra Uzi Yemin: Well, let me use an example that happened a few days ago. We had a blip in the -- in our Big Spring refinery and obviously, we filed that with the TCQ, the SEC malfunctioning. That impact was 100,000 barrels for the entire event. Not 100,000 barrels a day. Everything, all in, 100,000 barrels. That spooked the market to dollars. That's how tight the market -- how tight the market is. And if 100,000 barrels, which is a temporary thing because obviously, we'll run it going forward, if this is the case, then the market is very tight. Then, you go to the portion of the question that you asked about trucking and also rail. So, we know about a couple of companies that are trying to use railroad, however, it's not an easy as it used to be four, five years ago. Some of the railroad companies are not as attuned or as receptive to this idea like they were four, five years ago. So, now we're talking about trucking. And that's a long shot. Not only, okay, it cost money to hold it, but you need to get the truck and more importantly, you need to get the driver. We have a huge trucking operation in the area and trucking as well as drivers is a challenge.
Neil Mehta: So, what happens then -- is your view that there isn't sufficient trucking capacity then to ultimately clear the basin over the next two years?
Ezra Uzi Yemin: I really don't know what we have in two years. But right now, there's shortage trucking and drivers in the area.
Neil Mehta: All right. Thanks Uzi, appreciate it.
Ezra Uzi Yemin: Thanks Neil.
Operator: Our next question comes from Brad Heffern of RBC Capital Markets.
Brad Heffern: Hey good morning everyone.
Ezra Uzi Yemin: Hey Brad.
Brad Heffern: Just on the quarter. I was wondering if you could talk through some of the moving pieces on capture. Obviously, you gave the big LPO figure and you had some downtime in the quarter, but the capture was particularly low. So, anything else that I should be thinking about in terms of what that was?
Ezra Uzi Yemin: Absolutely. Assi will take you through some of the technality and if needed -- if we need some more color, we'll obviously give some more color.
Assaf Ginzburg: Sure Brad. As we mentioned, most of the LPO wasn't related to volume we didn't run, but the majority was actually because of the freeze that we had in January in Texas and in some parts of Arkansas. We had some yield loss across the system. So, when you look at the capture rate, when you add to that affect the RIN prices, went sharply down between the day we got the waiver, until we reported the earnings, all those together impact materially the refinery. And we think that the capture rates in El Dorado was actually closer to $5 to $5.50 a barrel compared to the reported margin that we've seen. The Big Spring was closer to $11 a barrel. When you look at Tyler, close to $7 a barrel. And when you look at Krotz Spring, $3 to $3.50 a barrel. So, across the system almost every refinery negatively impact between $1 to $2.50 a barrel combination of the reduction in RINs prices, plus the fact that the yield loss or the LPO that impact the refineries. We do not expect this to be as impactful in the next few quarters as we don't have anything to, right now, point out besides a small decline in April in RIN prices that we've seen since the end of the quarter.
Brad Heffern: Okay, that's great color. Thanks for that. And then I guess on the RINs front, can give any thoughts around the potential to get waivers at Tyler or Big Spring? And also some of your peers have gotten rulings from 2015 overturned and have gotten retroactive waivers for that year, so if there any chance for that heading into their refineries?
Ezra Uzi Yemin: Well, obviously, look at that very carefully, Brad. Just as a reminder. And that's something that we all need to remember. We've been doing the waivers from El Dorado and Alon at the time and now us, did it for Krotz seems that mechanism existed eight, nine years ago. And we -- every year, when we submitted that, we got it, with one exception, I think that was one year that El Dorado didn't get, special circumstances and I won't get into that on this call. So, we think the waiver is pretty much in the mechanism of this administration to control the RINs cost. However, we never submitted Big Spring or Tyler. And that's something that we will need to look at it carefully. It looks like the new administration's willingness to look at that. And obviously, we'll update you when -- if something happens in that area.
Brad Heffern: Okay. Thanks a lot.
Operator: Our next question comes from Prashant Rao of Citigroup.
Prashant Rao: Hi, good morning, thanks for taking the question. I guess, my first question, wanted to touch back on the M&A topic that was discussed earlier, but ask you in a different way. Not necessarily specific to you, Uzi at Delek but just the environment and the landscaping in general. It seems like obviously we've had one big merger announced last week, there's rumors of other things going on. I just wanted to get a sense of where are the opportunities set? What seems to be more active? Where is the enquiry level in terms of either by region or ownership? Any thoughts around how this might play out, because it seems like even cash that's building not at Delek, but at some of other refinery that could the start up another consolidation cycle, so just wanted to get your thoughts more broadly speaking about market.
Ezra Uzi Yemin: And then I think there are two or three questions here. So, let me -- and try to answer all of them and then if there's a follow-up question, I'll be more than happy to take that one. The first one is cash is piling within all the refineries, that is correct. And it's not going to -- well, it may change, but the outlook that is 2020 or even 2021 with the IMO and the Midland situation, we will be pretty much situated with great cash. So that cash situation brings different dimension of pressure what are we going to do with all that cash. And I think some of our peers did great job trying to diversify and try to buy other assets that are adjacent, if you will, to the refining assets. Our core market for us is Midland and the Permian. That's where we -- many years ago when nobody believed in that, that's what we did. And we want to continue doing that. But at the same time, we want to look at other opportunities, basically to create to some hedge to the exposure we have at the Permian. And so that's one component of your question I think. The second one, the overall market. I think that and we saw an example of Marathon with Andeavor last week, I think more and more people will look at other companies and try to see if it makes sense to them. Now, remember, there's no pressure and some people were surprised that the premium that Marathon paid is a little high but there was no pressure on Andeavor to do anything. So, it's basically bias market in the M&A -- within the -- I'm sorry, the seller market within the refining space. That will bring, in my mind, refining trying to get into other spaces in order to diversify the earnings. And I hope that was comprehensive enough.
Prashant Rao: That was very comprehensive. Thank you very much. And I had one very quick follow-up not on refining, but on retail. The margin performance was I think impressive this quarter and just sort of want to get a sense of peers out there in retail have had margins that may be expectations weather impact and other things, just wonder if you could get a sense of margin cadence from here out, how we should be thinking about that, in case, that may be some place may be some underestimation?
Ezra Uzi Yemin: Well, lucky enough -- or we are exactly the -- with our retail in Midland or in that area in the Permian. So our retail exceeds budget almost every month, both on sales and margins just because of the traffic that is happening in the market. I'll just give you an example. I was in Midland last Thursday, obviously, as you can imagine, we have big operation over there. Some of our stores are 50%, 60%, 70%, same-store sales compared to last year. And it's really amazing what's going on in the area.
Prashant Rao: Excellent. Well, thank you so much for the timing and the franchise.
Operator: Our next question comes from Paul Cheng of Barclays.
Paul Cheng: Hey guys. Good morning. Several questions. Uzi, is there any reason, or Kevin, not to submit the Big Spring and Tyler for waiver at all?
Ezra Uzi Yemin: No.
Paul Cheng: And that when you do apply it, is there statutory limitation that can you apply for more than just 2017, or that is now too late that you apply for 2016, 2015?
Ezra Uzi Yemin: I need to check it. To my knowledge, I need to check it -- to my knowledge, it's a three-year thing.
Paul Cheng: Okay. Can you tell us that how much is the kind of Big Spring and wind cost loss in 2017, 2016 and 2015?
Ezra Uzi Yemin: It's not cost, Paul. It's the number of the RINs that we used. And it depends on the parts of RINs. But if you take, as a ballpark, forget about the price of RINs. If you take the number of RINs to run each refinery, I'm going by memory, it's around 60 -- similar to El Dorado, so something like 60 million ethanol and 15 million of biodiesel. I'm going by memory, but it's in the ballpark.
Paul Cheng: Okay. So, is that combined or each one?
Ezra Uzi Yemin: Each one.
Paul Cheng: 60 million?
Ezra Uzi Yemi: 6-0. $60 million and $15 million of biodiesel.
Paul Cheng: So, 1.6 for biodiesel?
Ezra Uzi Yemin: 1.5, yes.
Paul Cheng: $15 million. Okay. And in terms of the Permian, we heard the challenge as you mentioned about where oil out from the basin that a lot of the terminally capacity seems to be used up for other things and other. Have you look at holistically what is your best guess over the next say, several months that how much is the well oil could, the one get up to, if any?
Ezra Uzi Yemin: I want to clarify the question, Paul. What volume?
Paul Cheng: Right. That you may be able to rail it out from Permian. We heard similarly as what you have mentioned from other people that a lot of those terminal capacity and usage has been locked in for the shipment of sand and other things. So, I'm just curious, while the terminal that's clearly capacity, but how much is actually available even if we want to that -- really want to ship oil?
Ezra Uzi Yemin: I would say that we have our own analysis with every terminal. We talk about that quite a lot. It's between 100,000 and 120,000 barrels a day.
Paul Cheng: And do you know how much that is currently shipping?
Ezra Uzi Yemin: I don't know. Probably not too much because all this just started a few weeks ago. It takes time to clean the railcar, ship them to Midland, get the facility running, probably very little.
Paul Cheng: And hedging. I know you guys historically been quite active and you think you can make money. But in the whole scheme of things, if that becomes just a noise and distraction and why we even bother to continue do hedging? [Indiscernible] strategy?
Ezra Uzi Yemin: That's a great question. At the same time, Paul, let's be honest, there are two things here that we need to remember. $10 for next year is a big number. And while we're all looking at that and amazed, at the same time, we had only -- we were in a positive territory two months ago. Now I was expecting, and we spoke about that to get to the $3, $4 pretty quick, but I never thought $10 for the entire 2019 is even in the cards. So, not so soon. So, we do need to think very carefully about taking some of that risk or some of that embedded profit into consideration and put it aside. Now, it's not substantial, but it gives the opportunity to establish baseline for the cash flow.
Paul Cheng: And for the IMO 2020, is there any investment you guys going to do?
Ezra Uzi Yemin: Not substantially. We do have opportunity to do both heavy, if we want to do that in -- we can run heavy both in Big Spring and at El Dorado, we have that flexibility. We will maintain that flexibility, but that doesn't require much investment. At Krotz, we can actually blend everything we have over there and be in compliance. So, very little within -- exist in our system.
Paul Cheng: I'm curious and may be this is for Fred. Fred, have you heard about a project company that make the train. They have a proprietary technology that would be able to directly treat the high sulfur receipt into the low sulfur bunker fuel standard without going through further cracking and the capital cost may be only about, say 25% of a hydro cracker. Have you looked at that technology and what do you think?
Frederec Green: Paul, I have not. Just looking at the size of the bottom streams produced off of our units, for us, it's probably -- the economy of scale wouldn't work. But I'll take another look of the technology if you think it's got some promise.
Paul Cheng: Okay. Will do. Thank you.
Ezra Uzi Yemin: Thanks Paul. It's nice to have you back.
Operator: Our next question comes from Roger Read of Wells Fargo.
Roger Read: Yes, good morning.
Ezra Uzi Yemin: Hey Roger.
Roger Read: Uzi, a lot of it has been hit but I guess, may be coming back to the dividend increase versus share repos versus acquisitions. What's the method for making the decision, which direction to go? Are you looking at return on capital employed? Is there -- is it an equal return hurdle for each of those options? I'm just trying to understand kind of like everybody agrees you're going to have a big pile of cash, well, heck, you already do have a big pile of cash. Question is what happens with it next. So, maybe if you can kind of help us understand your thought process as you look at the opportunities and may be what's the most hurdle rates are?
Ezra Uzi Yemin: Well, that's a great question. As we look at the numbers of first quarter, the first quarter wasn't good. There was a lot of noise in the first quarter and still, cash continue to pile. And sometimes, we have some noise in the numbers that it's hard to explain but cash is cash and as you said, we are going to have more cash coming in. And for me, the number one thing is how to create more value to the shareholders. And if we think that cash -- we can't make investments that will be accretive day one to our company, then there's no reason to hold that cash. And we need to give it back to the shareholders and that's the dividend that we just did. Obviously, if second quarter, third quarter, fourth quarter, will continue the way we see them, there's no reason to believe that we will not deploy more cash through means of dividend hiking as well as buyback. So, for me, by the end of the day, the cash is the most important thing. Looking at the second quarter, we mentioned this earlier, the average for the second quarter is a little less than $6. It's actually more than $6 now whereas we calculate for the entire quarter, so you can see the EBITDA coming in the second quarter and also the third quarter, we're talking about now $13, $14 and I saw this morning that the fourth quarter is $15. So, there's no way we cannot continue to deploy cash to our shareholders. By the way, that reminds me something that I neglected to not to say earlier. There will be -- because of the way the accounting works with us and Kevin can explain that if needed, I don't think -- there will be some non-cash adjustment to our inventory in the second quarter because of Midland differential coming down, we will adjust to that differential. But that's again, will be non-cash. So, going back to your question earlier, I think that more than too low even for us, that's changing by the day. We just need to adjust to a new world that we can deploy all that cash to you guys.
Roger Read: Okay. And so just as a follow-up on that. I guess I mean I could imagine you don't want to get too committed to a regular dividend because as we all know, differentials come and differentials go. So, special dividends as well as share repos, the regular dividend is the right way to think about potential cash returns to shareholders.
Ezra Uzi Yemin: Well, we're still paying $1. I don't want to commit to anything at this point. We've been doing it long enough to know that things can change in a hurry. The way they came, they can go. But right now, it looks bright for future cash deployment.
Roger Read: All right. I'll leave it there. Thank you, Uzi.
Ezra Uzi Yemin: Thanks.
Operator: [Operator Instructions] Our next question comes from Matthew Blair of Tudor, Pickering, Holt.
Matthew Blair: Hey, good morning Uzi and Kevin.
Ezra Uzi Yemin: Hey Matt. Good morning.
Kevin Kremke: Hey Matt.
Matthew Blair: Good morning. I want to come back to the share repurchase issue. And correct me if this is wrong. But it looks like in January and February, you spent $94 million on share repurchases for the two months, but then in March, you only spent $1 million. I guess, should we read anything into this? How opportunistic are you going to be on buybacks going forward? And can you also disclose how you much you bought back in 2Q so far?
Kevin Kremke: Yes, hey, Matt. It's Kevin. So, $95 million total in Q1. And we ended the -- under a 10b5-1 program and we ended the share buybacks at the end of February, so I'm not sure we got to $94 million versus $1 million. But there's $95 million total on top of the $25 million that we did in Q4. And once the window opens back up for us post earnings release, we'll be back in the market with another 10b5-1 program for the rest of the year.
Matthew Blair: Okay. And how sensitive are you to share price in terms of buybacks going forward? Is that much of a consideration or not really?
Ezra Uzi Yemin: No. Zero sensitivity, we just do 10b5-1 and execute or the broker executes without our involvement. I don't even know what the price every day when he buys.
Matthew Blair: Sounds good. But I was hoping, a lot of talk here on the Southwest crude market with a good reason, but I was hoping you could talk about the Southwest products market. That's historically been one of the best products market in the U.S. There's some projects out there to increase diesel pipeline capacity coming into the Southwest from the Gulf Coast. Any concerns on your end that the product side might weaken in the Southwest going forward?
Ezra Uzi Yemin: Well, let's be clear, that's not sustainable. We have days with $0.30 or $0.35 margin, especially now in the summer and especially with the activity. And I'm sure that somebody will come with some barrels. At the same time, we just need to remember, it's not easy to get to that part of the country. And sometimes it cost $0.12, $0.13, $0.14, to get to something that will cost us 0. So while we may suffer a little bit on the $0.13, we never more than $0.13. We are probably talking about $0.14, $0.15 going forward.
Matthew Blair: Sounds good, Thanks.
Operator: Our next question comes from Kalei Akamine of Bank of America.
Kalei Akamine: Hi guys. Good morning.
Ezra Uzi Yemin: January.
Kalei Akamine: Just kind of looking at the diesel inventories here in PADD 1, it's fallen quite a bit, Gulf Coast refineries are sending more of your products to export markets rather than colonial because of the more attractive economics. You guys are shipper on colonial, so just wanted to know what you guys are seen as far as netbacks compared to the Gulf Coast?
Ezra Uzi Yemin: Netback -- colonial netback for a long time, Kalei, got positive. And a lot of people ship to Mexico. We're actually doing the same thing from two refineries because of the netbacks being healthier in Mexico. And the colonial market is getting a little healthier. It's still not to the magnitude that we see with the TEPPCO line or, of course, the Magellan line but positive netbacks that should impact us during the summer.
Kalei Akamine: Got it. And just king of looking at that wide differentials here in the Midland in both the spot and forward markets, how long do you think this windfall will last? And when do you see this tightness fading if it does? And what does the sustainable differential for Mid-Cush and Mid-Houston look like once the next wave of pipelines are put into the ground?
Ezra Uzi Yemin: Well, I think the component here that we all forget is once it gets to the Gulf, it needs to go somewhere. And while we are not export or experts for expert -- export experts, we do have some knowledge around it. And we think our goal all along was between $2.50 and $4 between Midland and Cushing. And while we have a huge windfall now, I don't think that going forward, come 2021, 2022, we will see these numbers and we never model them in our models.
Kalei Akamine: What do you think the scope of your participation looks like in the export markets? How much crude can you currently get to the Gulf Coast?
Ezra Uzi Yemin: How much crude can we get to the Gulf Coast?
Kalei Akamine: Yes.
Ezra Uzi Yemin: That's an area that I prefer to stay silent until we announce to the market are plans, but we do have plans around it.
Kalei Akamine: Got it. Thanks again to discuss.
Ezra Uzi Yemin: Thank you.
Operator: And we have no further questions at this time. I would like to turn the call over to management for closing remarks.
Ezra Uzi Yemin: Thank you, Laura. I'd like to thank my friends around the table here. I'd like to thank the Board of Directors for their leadership and help with the company. I obviously, like to thank the analysts and the investment community in believing in us. That is a huge support that we get from the market. And overall -- or above all, I'd like to thank our employees who make this company as great as it is. We'll talk to you next time. Thank you.
Operator: This concludes today's conference call. You may now disconnect.